Operator: Good afternoon and welcome to the PetIQ Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please do note that this event is being recorded. And I would now like to turn the conference over to Katie Turner, please go ahead.
Katie Turner: Good afternoon and thank you for joining us on PetIQ’s second quarter 2022 earnings conference call and webcast. On today’s call are Cord Christensen, Chairman and Chief Executive Officer, and Zvi Glasman, Chief Financial Officer. Michael Smith, President and Chief Operating Officer, will also be available for Q&A. Before I begin, please remember that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management’s current expectations and beliefs and involve risks and uncertainties that could differ materially from actual events or those described in these forward-looking statements. Please refer to the company’s annual part on Form 10-K and other reports filed from time to time with the Securities and Exchange Commission and the company’s press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note on today’s call, management will refer to certain non-GAAP financial measures, including adjusted gross profit, adjusted SG&A, and adjusted EBITDA. While the company believes these non-GAAP financial measures will provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today’s release for a reconciliation of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. In addition, PetIQ posted a supplemental presentation on its website for reference. And with that, I’d like to turn the call over to Cord Christensen.
Cord Christensen: Thank you, Katie and good afternoon, everyone. We appreciate you joining us today to discuss our second quarter financial results. I’ll begin with an overview of our strategic business and financial highlights, then Zvi will review our financial results and outlook. Finally, Zvi, Michael, and I, will be available to answer your questions. First, I’d like to begin by thanking all of our dedicated employees for their hard work and contributions in this dynamic and challenging operating environment. We couldn’t provide the access to affordable pet health care without you and pet parents everywhere are grateful too. While net sales of $252 million were below our expectations of $260 million, we still grew consumption of our PetIQ manufactured brands, launched new products, which we strategically invested behind, and outperformed in the categories which we compete to deliver continued gross margin expansion and adjusted EBITDA in-line with our expectations of $28 million. And year-to-date, our net sales were up 7% on an apples-to-apples basis. Like most companies, for PetIQ, the last few years have provided to be unlike any others in our company’s history. Our team has navigated COVID and how pet parents shop for their pet health and wellness needs. This year was less about COVID, we are seeing higher inflation impact consumers in a tighter veterinary labor market. As we discussed last quarter, unfavorable weather trends impacted the start of the flea and tick season in April. While weather was still an issue May, consumption did improve, however, this increase did not fully offset the decline to the start of the flea and tick season.  In addition to weather, late in the quarter, we started to experience changes in consumer shopping habits evidenced by trade down to smaller pack sizes and lower-cost brands as well as certain preventive care purchases occurring more closely to the time of need in this economic environment. We also had $5 million of fill orders to support the start of the flea and tick season that shifted to the first quarter of 2022 from the second quarter of 2022. We remain pleased with how our PetIQ manufactured products performed in light of the broader category weakness in Q2, our own manufactured brands represented 28.9% of product segment net sales, up from 28.4% in Q2 last year. And we expect PetIQ manufactured brands to increase to over 30% of product segment net sales in the second half of 2022. We generated sales growth across five of our top seven manufactured product categories during the quarter. A few of the highlights from the quarter were pet supplements grew 62%, compared to 2Q last year. Dental was up 23% versus the prior year period and dog treats increased 80% year-over-year. We continue to participate and be a leader in several of the largest growing categories within the pet industry such as flea and tick solutions and health and wellness. Our manufactured flea and tick brands are up 6.5% year-to-date versus the first half of 2021, but less than the 24% that we expected year-to-date based on the weather and changes in consumer spending habits I mentioned earlier. In terms of market share for the 12-weeks ended June 18, 2022, the PetIQ portfolio gained 73 basis points of share within the over-the-counter flea and tick category and continues to command the number two market share position at 20.3% total share of the market. This share gain was led by both PetArmor, CapStar, and NexStar. In the health and wellness category, we also continued our momentum in this high-growth segment as we picked up 98 basis points of share, the segment increased 8% across the market, while our portfolio grew 13% for the same 12-week timeframe. Both flea and tick and health and wellness segment growth was fueled by disproportionate gains in the e-commerce and the club channels, which are not Nielsen-measured sales channels. We continue to have the largest over-the-counter animal health brand portfolio with over 1,000 SKUs and a dominant market share in pet prescription products sold to retail and online. Now, focusing on the Services segment. Our Services segment reported its best quarter since the onset of COVID in 2020, posting its sixth consecutive quarter of positive adjusted EBITDA and net revenue of $33 million, an increase of 17.2%. This was better than we expected. For the first half of 2022, Services segment net revenue was $60.9 million, an increase of 16.2%. We believe our Services segment will make sequential and year-over-year improvements as we progress through 2022. In Q2, we continued to optimize the Services segment to maximize the results and minimize disappointing our pet parents. First, we continue to adjust our clinic schedules to reduce labor hours in cancellations when labor is unreliable. Second, we continue to focus on veterinarian retention and recruiting programs to support our future wellness center openings. Due to the challenging vet labor market, we opened six new wellness centers in 2Q, and 10 wellness centers in the first half of 2022. We remain prudent with our Services growth near term given the challenges in the vet labor market. We are also very excited to have added John Pearson to the PetIQ team in the second quarter as Senior Vice President, Head of Services division, reporting to Michael Smith. He is responsible for managing all aspects of PetIQ Services division, including strategy and operations to fuel growth in revenue and profitability. John is an incredible operator and strategist with extensive retail experience, including a very strong track record in consumer retail, working across multiple product categories in key leadership roles, having spent much of his career helping to fuel growth at the world’s largest retailer. He is here to help us at an important time as we look to further enhance and optimize our Services segment to reach more pet parents and their pets with our affordable, [in-community access] [ph] to pet health and wellness products and services. In John’s first 60 days, he has already begun to lay out and implement plans with a fresh perspective and constructive ideas to fuel future growth and add stability in our Services segment. I look forward to sharing more of his insight and our strategic growth plans with you in future quarters. Finally, I’d like to address our updated annual outlook which Zvi will cover in more detail. Multiple consumer trends continue to support the long-term growth of the pet industry and PetIQ’s unique position in the market, offering convenient, and affordable veterinarian products and services. When we provided our annual guidance at the beginning of 2022, we had visibility to consumption patterns across our brands and the categories in which we operate that we’re growing. We also had planned new wellness center openings. At the time, this information fully supported the total company growing net sales at approximately 10% on a like-for-like basis as compared to 2021. Now, with a much slower start to the flea and tick season due to weather, the changing consumption patterns of pet parents in this economic environment I previously discussed, and fewer wellness center openings than we planned due to the vet labor market, we are taking a more conservative approach to our outlook. We now expect net sales of approximately 4% at the midpoint of our guidance. This reduction in our sales guidance can be broken down into three main areas. First, approximately one-third of our reduced net sales expectations are due to lower-than-expected flea and tick sales as a result of weather, which we don’t expect to fully recover in the back half of the year. Second, approximately one-third of our guide down is due to the changes in consumer spending that I outlined today and something we continue to closely monitor. We have also seen the trade down in the flea and tick category that I mentioned earlier, which supports PetIQ’s manufactured brands, but it also means that in 2022, we expect the total category to be down and smaller than in prior years, even though we expect to capture a disproportionate amount of market share. Third, the final one-third of our net sales guidance reduction is due to us opening fewer wellness centers than we had expected, based on the labor market, we opened 10 new wellness centers, a much lower number than we budgeted for 2022. The last area I’d like to cover in our guidance is our sales quarter-to-quarter and the first half to second half of the year. If you take the second quarter and the first half of 2022 financial results and our updated 2022 outlook, it suggests all of our growth happened in the first half of the year. Simply doing this does not tell the full story. In fact, our year-over-year growth is very balanced when you look at consumption by pet parents. [Q3 to-date] [ph] consumption has increased compared to the first half of 2022 and we expect this trend to continue for the balance of the year. It is important for us to highlight that a number of our retail customers have been balancing the inventory and reducing the weeks of supply. When you normalize these inventory events, our growth is very balance across the entire year. In closing, we believe our differentiated position in the animal health industry will continue to fuel our long-term growth along with robust industry tailwinds, including increasing household penetration for pets, the humanization of pets, an increase in pet population, and more pets looking for convenient and affordable pet health and wellness. Our Product and Services teams continue to execute well on our mission and we believe PetIQ is well positioned to continue delivering increases in our net sales and profitability, as well as generate solid cash flow over the next several years. With that overview, I would like to now turn the call over to Zvi.
Zvi Glasman: Thank you, Cord. We are pleased with our year-to-date. growth and our ability to manage the controllable aspects of our business to achieve solid gross margin expansion, growth in net income and adjusted EBITDA in-line with our expectations for the quarter. We accomplished this even as our net sales were lower than we anticipated for Q2 as Cord discussed, while simultaneously executing on our planned marketing investments to support new product launches and the growth of our existing brands. We remain pleased with our team’s execution and the improvements in key areas of our business, as well as the share gains achieved from new product launches. We are continually evolving our business to provide pet parents with convenient and affordable pet health and wellness where and when they want to shop. Now, I will go through key financials in more detail for the quarter and year-to-date period. Since, Cord focused on our top-line results for the quarter in detail, I will start my financial review with gross profit. Second quarter 2022 gross profit increased 3.9% to $62 million, resulting in gross margin of 24.6%, an increase of 260 basis points from the second quarter last year. Adjusted gross profit was $65.2 million and adjusted gross margin was 26.4% for the second quarter of 2022, representing an improvement of 190 basis points year-over-year. This margin expansion reflects favorable product mix, including the success of the company’s manufactured product portfolio, such as the recently launched product NexStar. We also benefited from service segment optimization. SG&A expenses for the second quarter 2022 were $50.6 million, compared to $43.1 million in the second quarter of the prior year. Adjusted SG&A was $44.1 million for the second quarter of 2022, compared to $37.5 million in Q2 of last year.  As a percentage of sales, adjusted SG&A was 20.1%, an increase of 420 basis points, compared to the prior-year period, primarily reflecting $5.8 million of planned incremental marketing to support the launch of our two new brands and continued marketing investments to help accelerate growth of our manufactured brand product portfolio. Our Q2 net income was $4.7 million, an increase of 16%, resulting in EPS of $0.16. Adjusted EBITDA was $27.6 million in-line with our Q2 guidance for adjusted EBITDA of $28 million. We are very pleased to have still achieved our target for adjusted EBITDA for the quarter despite the lower-than-expected net sales for Q2. We continue to believe this demonstrates the strength of our PetIQ manufactured brands and our team is focused on managing our costs. This resulted in second quarter 2022 adjusted EBITDA margin of 10.9%, slightly ahead of our expectations for the quarter. Turning to our balance sheet and liquidity. As of June 30, 2022, the company had cash and cash equivalents of $5.4 million. During the second quarter, we generated approximately $15.8 million of operating cash flow, excluding working capital investments. We continue to expect 2022 to be the strongest cash generation year in the history of the company. Our working capital as of June 30, 2022, was $224.5 million, an increase of $6.4 million from the same period last year. Our working capital needs are primarily to fund inventory and accounts receivable, both of which can fluctuate based on the seasonality of our business, retailer demand, and the timing of new product launches. The increase in working capital is primarily due to higher than normal levels of inventory, driven by lower sell-through than expected, as well as our decision to maintain adequate weeks of supply, given the challenged supply chain environment. We remain comfortable with our levels of inventory. Our long-term debt, which is comprised of our term loan, ABL, and convertible debt facilities was $467.4 million as of June 30, 2022. In addition to our cash on hand, the company has $120 million of availability on its revolving credit facility, representing total liquidity, which we define as cash on hand plus availability of $125.4 million as of June 30, 2022. Keep in mind, due to the flexible nature of our debt facilities, the company can expand availability by an additional $150 million if needed. We continue to believe our available liquidity, consistent growth, contribution from the product segment, and improvement in the Service segment positions the company to drive free cash flow and build cash in the quarters ahead, as well as opportunistically pay down our debt. Now, turning to our guidance. Cord already covered the reasons for our net sales change, so I will focus on specific guidance ranges for both the year and Q3. For 2022, we expect net sales of $920 million to $940 million in-line with 2021 based on the midpoint of the guidance. For comparative purposes, we expect net sales to increase approximately 4%, compared to 2021 based on the midpoint of the guidance, excluding $36.1 million of sales in the prior period related to the lost distribution. We expect the adjusted EBITDA of $92 million to $94 million in-line with 2021 based on the midpoint of the guidance. For comparative purposes, we expect adjusted EBITDA to increase approximately 3%, compared to 2021 based on the midpoint of the guidance, excluding $1.8 million of adjusted EBITDA in the prior year period related to the lost distribution. We continue to assume adjusted SG&A will increase approximately 100 basis points to 17.3% in 2022, compared to 16.3% in 2021 as our team focuses on managing our controllable expenses and achieving greater cost efficiencies. Keep in mind that our annual outlook also assumes a very little incremental adjusted EBITDA contribution from the Services segment. The Services segment has not returned to pre-pandemic levels when the business contributed approximately $10 million to $15 million in additional adjusted EBITDA. While we do expect to eventually return to pre-pandemic levels, based on what we are seeing in the veterinary and labor markets, we believe it is prudent to assume the return will not occur in 2022. Now for our third quarter of 2022 guidance. We expect net sales of $200 million to $210 million, a decrease of 1% compared to the third quarter of 2021 based on the midpoint of the guidance. For comparative purposes, we expect net sales to be in-line with the third quarter of 2021 based on the mid-point of the guidance when excluding $3.5 million of sales in the prior year period related to the lost distribution. We expect the adjusted EBITDA of $16.5 million to $17.5 million, an increase of 3.8%, compared to the third quarter of 2021 based on the midpoint of the guidance. For comparative purposes, we expect adjusted EBITDA to increase approximately 5%, compared to the third quarter of 2021 based on the midpoint of the guidance, excluding $0.2 million of adjusted EBITDA in the prior year period related to the lost distribution. In closing, we are pleased with execution for the first half of the year in a challenging operating environment. Our team remains optimistic about our growth for the balance of 2022 and over the next several years. We believe we have a strong team in place to provide results for all of our stakeholders, while continuing to deliver on our mission of smarter, convenient, and affordable option for pet parents. With that overview, Cord, Mike, and I are available for your questions. Operator?
Operator: [Operator Instructions] And our first question will come from Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Good afternoon, everybody. I guess I wanted to start with the – some of the commentary that you had on the consumer and also the late [Technical Difficulty]. So, could you talk a little bit more about what you’ve seen subsequent to the late start, which I think to your point was weather-related? What level of consumer engagement you’ve seen subsequent to that? And when you think about these changes that you’re seeing whether it be trade-down or migration to lower pack sizes, is that good for your profitability? Because I would guess it would often mean trading into some of your manufactured brands, which are higher margin for you?
Cord Christensen: Yeah. Thanks, Jon, for the question. This is Cord and I’ll answer most of that and Michael Smith may add some points as well. Obviously, the month of April and part of May, we had snow and cold weather across the country, which is unusual for the start of the flea and tick season. Flea and tick category in that time period ran negative comps to last year across all data sources that included Nielsen, Online, Club, in the negative 20%-plus to last year. We saw it go into the teens in May and then we started to see consumption start to pick up as it started to warm up, and then as we got later in the quarter, we did start to see the trade-down effect you talked about, and we started to see some consumers at the very low end of the retail shopping patterns, or retails, you’d expect to have per household with lower household income, units being less than normal, and as we [indiscernible] investigated found that there is consumers that are choosing to purchase when they have an issue or closer to deal with an issue versus having the money to deal with preventative care. From a household penetration standpoint, it represents about 0.5 point on household penetration. So, it’s not a huge number that left the category, but if you look at the health of the overall category, taking into account trade-down from some of the high-end, all these issues, weather, year-to-date total category is running a negative in the high single-digits, which is unusual for this category when you take all data sources, including Online, Club, Nielsen, and you name it. We’re fortunate, as we said in the release that in my – in my commentary that our brands are running 6.5% ahead year-to-date, so we are definitely doing better than what the market has done, but based on a healthy season, our placement, the way brands have been performing, new item launches, we had expected to be 24% ahead this year. And so that’s why you see a more conservative approach. And right now, based on that consumer consumption piece that we’re seeing right now, we’re anticipating that if it continues as we’ve modeled it and as we’re seeing it, we would finish the year positive 4%. And so, it’s still a very good year for us and a very tough year and we’re taking tons of share in the category, but it’s definitely not in-line with what our expectations were when we started the year and built our modeling and built our budget for the full-year. So, Michael, anything else you’d like to add?
Michael Smith: Yeah, Jon, I would just add a little bit, and largely echo Cord’s comments. I think one of the things that if we flash back to March-April, was we were trying to ascertain how much of the impacts we were seeing in the category was truly associated with seasonal events like weather and how much was more macro environment pressure on the consumer, and as we moved into the later months of Q2, what was clear was that it was becoming less about weather and more about some of the macro challenges that the consumer’s being faced with. So, at this point, as we think about the Q2 results and what we’re signaling for the back half is an expectation that those macro challenges continue throughout the rest of 2022. And then we continue to over-deliver from a share perspective and outperform the category on a relative basis.
Jon Andersen: Okay, that’s helpful. I guess looking – sticking with products for a minute, but looking a little bit further ahead – you’ve launched some innovative new products this year that I assume, you kind of expect to build upon in 2023. So, anything you can talk about based on your line reviews to the extent that you have them so far, the innovation that you brought to market this year, and how you think that that might carry forward into 2023? And then I think you also have at least one major new launch that you’re planning in 2023. Could you correct me on that if I’m wrong, and tell us a little bit more about that? Again, I’m kind of – I know I’m looking forward, but it’s clear that this year is going to be what it is. Want to understand what we can look forward to on the distribution and innovation front as we look out a little bit further?
Cord Christensen: Yeah, I think I’ll answer the second part of your question first and let Michael take the first part. As we said in prior quarters, we’ve been investing heavily in some new items with our R&D team. One of the more extensive investments we made a long-time. We’re very excited for that item. And what it could contribute to 2023, we are not ready to communicate on what’s going on with that right now just because we have lots of things, we’re working through with the EPA and other things, but it will eventually come to market. We believe it’s an exciting item for 2023 and should have one of the most meaningful impacts on a step increase in our manufactured brands performance once we’re able to launch that. So, it’s going to be great. So, Michael, if you don’t mind taking the first part of that question?
Michael Smith: Yeah, Jon, relative to NextStar’s performance, what I would say is that we set share goals for that item in terms of the impact it would have or the portion of the market that it would command, and we’re actually trending ahead of that objective. The challenge is obviously the size of the pie this year is a little different than we expected in the flea and tick category, but from a share perspective and where it’s sourcing volumes, we feel very good about what that means as we begin having conversations with retail partners about 2023. If you recall, when we came and started discussing that launch, we acknowledged that the green light from the EPA came a little bit later than ideal, which meant some of our customers were further down the road in their 2022 planning cycles to be able to incorporate that into their strategy. Those customers who did not build it end of their 2022 strategy, I would say, we feel very good about it being a focus and an initiative that will very likely be part of their 2023 strategies.
Jon Andersen: Okay, that’s great to hear. The last one from me, well, two quick ones. On Services, what’s it going to take to be able to, kind of hire in or retain more vets? Is there any light at the end of the tunnel so that you can, kind of reaccelerate the center build-out? And then the last one, I’ll just hit you with both right now is just on cash flow, has there been any change to the free cash flow outlook for the year? I think you’ve talked about $50 million in – or in and around that in the past, any update there would be helpful. Thanks.
Cord Christensen: Yeah, I’ll take the first part. And I’ll let Zvi answer the cash flow part when we finish. So, you know Jon, no one’s working harder than us to recruit, retain, and hire veterinarians. And I think as you go out hear what the entire industry is talking about, this is an issue we’re all living with right now. It’s going to be a long-term battle we feel as we are out meeting with the schools and every other place to figure out how to deal with the issue we recognized for us to get back on track for what we want to build in open, we have to recruit existing vets from their existing – where they’re currently working and you know that the numbers we’ve opened, opening 10 so far was not the goal for the year by any stretch of the word, but we also are hiring and getting better labor that’s solving for unreliable labor or other centers that we’re running, partial scheduled, because we’re using temp labor.  So, we have chosen to use almost another 25 veterinarians that were hired to really stabilize the base as well. So, I think in this environment, we’re being prudent with our decisions on how we’re using labor that’s fair. We’re working hard to solve for it, but we are unfortunately in a market that – this is or it’s at right now just throwing money out to their people, and it doesn’t seem to be what solve it. So, we’ll just have to keep you updated as we work through it and as we see, [indiscernible] will definitely be the first ones to share that with the markets. So, thanks for the questions. Zvi do you want to answer the capital question?
Jon Andersen: Could I just quickly follow up on that, Cord?
Cord Christensen: Yeah, yeah. Go ahead, Jon.
Jon Andersen: How are your retailers? Do they understand this? Is there any pressure from them to try and solve this sooner rather than later, are they losing – is there any – I don’t want to say loss of interest, but as I assume, some of your customers hope to have more centers up and running by this point in time. So, is there any risk that this creates to your longer-term goal of getting to a thousand centers or mark? Thanks.
Cord Christensen: No, it’s just the opposite, Jon. We’ve never had better engagement and partnerships with our retailers. They’re doing more now to make sure the ones we already have are successful, and they’re giving us more locations to recruit against so that we can make it easier to get more vets. And so, I would tell you, our top and best customers have never been more engaged, they’ve never been doing more with us in that area. And they’re patient because they have similar issues with some of the technical labor and their own businesses, so they’re I guess understanding right now. And they also know that we’re bringing them solutions as fast as we can bring them. So, we don’t have any pushback or pressuring up from our customers. Obviously, they would love more and we would love to give them more. But right now, we’re all working in partnership to deal with it.
Jon Andersen: Makes sense.
Cord Christensen: Then I also think John Pearson is doing some really amazing things to stabilize our base in a number of ways. And I think like I mentioned in my stated remarks, very excited to share the successes we’re going to have short-term and long-term as we start to let his plans kind of take hold. So, it will be something that will continue to be a bright spot as we make improvements. It just isn’t going to happen as fast as we want it to, but definitely, be going up into the right and being a positive contributor. So, Zvi, would like to comment on cash flow please?
Zvi Glasman: Yeah, on the cash flow, Jon, if you remember last year we ran a negative $11 million of cash flow. We had guided earlier this year would be $40 million to $50 million. Given the lower EBITDA, given the higher interest rates, we now think it would be more like $30 million to $40 million, which will be our highest cash flow year ever. And I think you’re going to continue to see that cash flow improve next year as well.
Jon Andersen: Thanks so much.
Operator: Our next question will come from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good afternoon and thanks for taking my question. So, first on the guidance reduction, is there a way to quantify what the impact was from retailers pulling back on orders on your reduced guide for the year?
Cord Christensen: Yeah, I think – well, thanks for the question, Rupesh. Good to hear your voice. Again, it’s difficult to quantify across every retailer, but in general, based on inventory levels and the time it took them to sell off in Q2, with – there’s about three weeks of excess supply, we believe across all the market, still in Q3 that’s burning off. And if you basically add back that burn-off in Q3, Q3 would have been positive. And so, as you look at the underlying consumption through the various data sources, you’re going to see that the consumption is very good in Q3 in these categories and really the only negative part to our sales is this inventory burn-off. But it’s about an extra three weeks of supply that’s been they’ve taken down [some] [ph], it’s where people over extended and some retailers are being more conservative in this economic environment, where if they were running eight weeks of supply last year, maybe they’re running six weeks this year. So, it’s the best way I can answer it for you.
Rupesh Parikh: Okay, that’s helpful. And then just on the flea and tick category. Can you just talk about the competitive dynamics that you’re seeing right now? I know and when I’m doing [indiscernible] checks you see a lot of promotions within the category. I can’t tell if that’s normal, if that’s something you need to in the current environment.
Cord Christensen: Michael, do want to take that one, please?
Michael Smith: Yeah. Rupesh, this is Michael. I would say at the aggregate, we’re not seeing disproportionate levels of activity or volumes sold on deal beyond historical norms. We are seeing actually a bit of a pullback in what I would call demand generation, marketing activities driving awareness and more investment in pricing actions. The pricing actions that I have seen across the category have largely been at the premium tier as you look at where the challenges are at in the category, the premium tier has felt a greater impact of some of the consumer behavior change. And they are attempting to address that. I would say the results that we’ve seen so far from pulling those levers from some of those brands. Likely, you’re not delivering the results that those brands or retailers desired, but that has been a play that has been ran a bit more often in the last three months. But total promotional investment or spend, I would say, is largely flat to down. It’s just a change in the tactics and we see a pullback in what we would call demand generation and an increase in pricing actions that do not look to be delivering expected results.
Rupesh Parikh: Okay, great. Thank you for all the color. I’ll pass the line.
Operator: Our next question will come from Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: Thanks. Good afternoon. Just starting off following up on the vet question. I guess, I mean I understand – I think I understand the problem, but I’m just not really sure why there is a change in just the past three months. I mean it would seem like you have a pretty good visibility to the number of vets out there, the number of vets that are coming out of school, and also have a, kind of a, I would assume, it takes a three-month, four-month lead time just to start one of these centers up. So, I just don’t understand what’s changed or what you didn’t know three months or six months ago in the vet market and why it’s gotten that much tougher because it’s not like a – it is a general labor market, these are very specific personnel that you’re trying to hire and you should at least by their licenses know where the bodies are? So, help me understand that.
Cord Christensen: Yeah, a good question, Bill, and believe me, we study all the time as well and look at it closely. I think what has been interesting is, we’ve seen even more on reliability and stability across our existing market, as well as whether it’s our competition being super aggressive coming after our labor like we’re coming after there’s, but if we make 15 hires, 20 hires in the quarter, we are stabilizing our existing store base, sometimes more than we anticipated we would need to versus opening new stores. And so, opening six is what we used for new stores, the real story is there was another nine or 10 or 12 used to stabilize stores that were having unreliable labor or people that are being recruited away with unreasonable turns to workplaces that we’re not going to pay those kinds of rates for, for that type of work. So, it’s really dynamic right now. Everyone’s struggling to find over the same pool. And if you go to all these conferences like we do, it’s funny we all talk about it, and you hear every time, we’re all still in each other’s recruiters, we’re all still in each other’s veterinarians, and we’re moving to it all around, but no one’s been able to stabilize it because the pet parent demand is there. And so, people want to open stores to meet the demand. And where we don’t have a pinned down yet, that is the best way to tell you, we’re doing the best we can right now.
Bill Chappell: Okay. And then back to the product, kind of commentary about how the year is playing out. I guess I don’t fully understand, I mean talking about weather and then also about inventory de-stock at retail. It seems like that’s the same issue. It seems – is it not that you would shift in a certain amount, to retailers it was a poor season because of weather. And so, now they’re just destocking, and they have too much supply, or is there an incremental – decided for some reason, at the end of the season, they want even less inventory going into next year?
Cord Christensen: I think, Bill, first and foremost, the less purchases of flea and tick caused by weather and consumers buying less because of the economic environment translates into the inventory issue. The inventory issue is less about a sales issue and it’s more about a timing of when the sales occur. And so as we look at the issue, we really study that the weather that has created less purchasing, on top of that, some consumers not participating in the category or trading down at smaller pack sizes, buying cheaper brands, taking dollars out of the category, the inventory is exactly as you described. It’s a component of changing the timing based on the – what causes the less consumption or causes that to happen. It is destocking and in some cases, it is what you describe retailers being more conservative on weeks of supply at end of season because they’re trying to balance other inventory issues they have across their box. So, whether it’s seasonal stuff that didn’t sell or otherwise. And so, we don’t really look at the inventory as being a reason for the dollars in total, unless it’s a destock that’s less weeks than prior year. But it’s really because of the weather and the consumer spending that’s really – and then the inventory just follows that per the retailers by guidelines.
Bill Chappell: Okay. So, it’s not any sign of any less enthusiasm for the overall category, even though you, I mean the worry would be you have higher-price products and kind of the low-end flea and tick, and maybe consumers going into 2023 aren’t as interested if they’re trading down, but that’s not what you’re saying?
Cord Christensen: No, not at all. And honestly, the trade-down is people buying the very, very high-end $70, $80, $50 boxes, still wanting the formulas that are similar, which is where our brands play at $25 and $20. And even the private label that we produce for Amazon and other major retailers like [indiscernible] and others where we’re doing their private label. We’re perfectly positioned for people that are still looking for veterinarian quality product at a better price. So, we think we are positioned well in that trade-down. We’re not seeing the trade down and people going from the very, very high-end down to a $5 box of hearts, that’s not what we’re seeing. It’s the $50 going to the $25 or six-pack going to a three-pack.
Bill Chappell: Got it. Thanks so much.
Cord Christensen: Thanks, Bill.
Operator: Our next question will come from Elliot Wilbur with Raymond James. Please go ahead.
Elliot Wilbur: Thanks. Good afternoon. First question on the Services business. If my math is correct, Cord, there is a bit of a bump up in terms of the number of stores or new stores that are in the same-store base over the next couple of quarters. And I’m wondering if you can just talk about those – how the new stores or newer stores are trending in terms of revenue trajectory relative to what you would normally anticipate in the first 18 months, and the overall profitability of new stores versus the historical experience? And then maybe, if you could just give a little color in terms of some of the key metrics in the quarter, the KPIs in terms of pets treated in average ticket price? Then I want to ask you a question on the parasiticide market, outside of the commentary around a bit of a consumer trade-down effect, and the weather, one of the larger players in the space, last week, basically suggested that they’ve seen significant share gains in the oral category in their Rx product by being able to pull demand away from the OTC channel in terms of older topicals and collars and some of the orals moving to newer generation triple parasiticides. And I’m just wondering if you’ve seen that impact as well maybe compounding some of the other trends that you discussed? Thanks.
Cord Christensen: Yeah, okay. Well, I’ll take the second question first. The - we haven’t seen a huge significant impact from the [Trio] [ph] pulling share back out of retail. Typically the – if you look at the last five years, six years, seven years in the retail segment, there is a very specific consumer that’s not going to veterinarian looking for their parasiticides, and when you look at the pricing differential with the vet visit plus the cost of the Trio, we have not seen that. And if you look at the shared data going on, there has been a lot more share transfer happening between what I’ll call the mono orals versus the Trio. And you’ve seen a lot more share transfer there that some happened in OTC. So, I think the vets have done a nice job of getting the customers to migrate to the Trio, getting that upsell and the ticket there. And transferring share from Merck or BI or others that don’t have that package, we have not seen the OTC space some – be significantly impacted. And we don’t see that as a huge issue. I think it’s an easy target for someone to call out, but not something I believe is translating there. From a Services standpoint, when you look at our, kind of key metrics, we’re up about 18% on pets per clinic when we run those. And so, that’s a pretty significant number over last year, and we’re up about 10% since Q1. So, we’re seeing some acceleration in the pets per clinic. Our average ticket, last year was $88, and this year it’s over $100, $102. Q1 was $95, so we saw another step change. A big part of the $88 to $102 was price increases we took versus last year, but the change between Q1 and Q2 had no price changes contemplated in that number. And so, we’ve always [prided] [ph] ourselves to be the $100-visit and really doing that preventative care in that minor emergency stuff in that range. And so, it’s in-line where we’d expect it to be and it’s hitting our margin criteria from that perspective. Our community clinics are really doing well right now. They’ve really accelerated back and we’ve put in place, and a lot through Jon in the last 60 days, put in place policies that are requiring us not to wait for the market to get back to 2019 to start doing things different. And so, we are putting in tougher operating metrics to drive profitability and we have a lot of aspirations for where that part of the business can be contributing in 2023 without having to get back to, kind of pre-2019 type operating, kind of environment. So, that’s good. As far as the wellness centers go and how they’re coming into the store base, again, we’ve never seen better tickets; we’ve never seen better pet counts accelerating. They’re still running about 15%, 20% behind where we would want them to be at that 18 months. So, they’re a little behind where we want them to be. Some of that we believe is just the start-stop and getting them back and getting that awareness up and running, but we definitely are starting to see that acceleration. And obviously, you’ll be able to see in the base how they’re performing very soon as they are part of the numbers. And so, I think we’re still very optimistic about what they will contribute and how they’re going to perform, and the long-term value they’re going to add to the business. And I think all of us have a lot of new things we’re working on with that model to bring more dollars and more profit dollars into the – into it, and we’ll be excited to talk about those in the coming quarters as John and others get more time to develop those.
Operator: Our next question is coming from John Lawrence with Benchmark. Please go ahead.
John Lawrence: Hi. Thanks. Cord, could you comment a little bit about – when you look at the retailers and you talk about their inventories and the trade-down on pack size, is there any chance that you get stocked out on some of those [lower-end] [ph] pack sizes and then left with the high-end that you didn’t sell?
Cord Christensen: Fortunate for us, John. We don’t have inventory issues. We manufacture our stuff in Omaha, Nebraska. We have plenty of raw materials and packaging and active ingredients to make whatever we need. And we’re balancing our inventory levels perfectly to meet that. Our partners we distribute for, we’ve been out in front of us with them, showing in the trends, and we’re going with them on long-term plan. So, we don’t believe we have any risk in not being able to capture every sales dollar that comes through the system as it can relative to inventory. And I think we’ve demonstrated pretty clearly for the last two years during the pandemic when we were well over 99% fill rates even during the pandemic in such a tried supply chain. In the last few years, as you know, this category did extremely well, and we had to do lots of extreme increases in inventory needs during the pandemic to meet people’s care when they couldn’t get into the veterinarian. So, we’re well-positioned and well-trained to meet it. I don’t think we’ll see any of those issues be an issue in the back half of the year.
John Lawrence: Yeah. Last question for me. Just – you’ve talked a couple of times about I guess new – new guidelines, operational changes, etc., coming next couple of quarters, and then we’ve got some new product intro. So, would you say this, sort of more news is coming already late fourth quarter? Would it be more like spring of 2023?
Cord Christensen: Well, I think there’s a lot of different messages that we tell [these people] [ph], but there is different operating procedures and things that we’re doing, and anytime you come into an inflationary market and people start talking about recessions, we’re looking at everything as a business to make sure that we are running the business the way it was built, that had that same entrepreneurial spirit, that grit, that do-more-with-less type of an attitude. And so, I think we’ve made a lot of acquisitions over the last four years. They’ve been very good acquisitions. We’ve taken some time to look at our business. I think, if you read into one of Zvi’s commentaries, I think on lower sales, we still think we can generate the same leverage on SG&A by delivering that same SG&A as a percent, which most companies that have had sales pressure in this environment, you’ve seen deleveraging on earnings and deleveraging on those numbers. And so, I think we have put together plans and are employing those now to deliver this year in a way that we think is prudent, without remotely putting in the long-term at risk. It’s just – it’s a right way to run the company in this environment and being prepared for the future. As it relates to big ideas and things that we’re doing in the marketplace, that never changes no matter what the environment is. We’re trying to develop items that help people get better access to affordable pet health care. We think there is a healthy pet market out there with lots of tailwinds to drive the future of this company.  And if the market is a little bit smaller in a tighter economic environment, it’s still a very large market that has needs for these great ideas to be out there, and we believe we’re the best company developing those, executing those, with the best retail partner relationships to execute in this pet health and wellness space. And so we’re still very bullish on the year and very happy with where we’re going. As we said, it’s not 10% growth year-over-year, but it is 4% growth year-over-year in a tough market. And earnings are up year-over-year and we’re [happy to] [ph] work harder to get it, but that’s what we’re going to do. So, we are still very bullish on the company’s performance; our team, the execution, our partnerships, and our plans for the future. So, hopefully that gives you a little insight to how we’re thinking.
John Lawrence: Great. Thanks for that. Good luck.
Operator: Our next question will come from Corey Grady with Jefferies. Please go ahead.
Corey Grady: Hey. Thanks for taking my question and apologies if you’ve already addressed this, but can you talk about performance and inventory levels by channel? And [indiscernible] your brands and your distribution business, I think, which we talk about online just brick and mortar, and then within brick and mortar are there any notable differences? Thanks.
Cord Christensen: That’d be great. Michael, do you want to take that, please?
Michael Smith: Yeah, I think – Corey, in general, as Cord and Zvi referenced earlier that there is definitely an overhang of inventory throughout Q2, due to the lack of consumption in the category and that overhang is falling over into Q3. In terms of specifics, I would say, at an aggregate, we’re looking at a week and a half to two weeks of drawdown that we need to continue to work through here in Q3. That’s going to vary widely by customer, by item. There are some customers and some brands where they’re chasing inventory, and then there’s other brands and customers where they’re very long on inventory, but at an aggregate, I would say, we’re looking at about a week and a half to two weeks left to bleed off as we work through the rest of Q3.
Corey Grady: Got it. Thank you.
Cord Christensen: Thanks, Corey.
Operator: There are no remaining questions. And with that, we will conclude our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Cord Christensen: We just like to thank everybody for joining us today. Obviously, when we started 2022, we had a very different view of where the market was and what was happening with the consumer, and it’s been very difficult to have to take the step change to address what the market is doing. We still feel extremely blessed that we’re in such a great space with such great tailwinds that we still are out delivering a significant number for this year and feel great about the leverage we’re generating to drive the same EBITDA margin percentages off of those sales that – we are doing that. So, I think we’re just grateful to our teams that are working so hard and continue to work in this tough environment to deliver the great results. We’re grateful for all of our retail partners and how they continue to lean as we look into 2023 and start to put plans together to be ready for next year and see a lot of exciting things coming. So, we really appreciate whoever joined us today. Look forward to our continued dialog on the quarter and on the year, and look forward to finishing 2022 as strongly as we can. Thanks, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.